Operator: Good morning, and welcome to the Boston Properties’ Fourth Quarter Earnings Call. This call is being recorded. All audience lines are currently in a listen-only mode. Our speakers will address your questions at the end of the presentation during the question-and-answer session [Operator Instruction]. At this time, I would like to turn the conference over to Ms. Arista Joyner, Investor Relations Manager for Boston Properties. Please go ahead.
Arista Joyner: Good morning, and welcome to Boston Properties’ fourth quarter earnings conference call. The press release and the supplemental operating and financial data were distributed last night, as well as furnished to the SEC on Form 8-K. You can find reconciliations of non-GAAP financial measures discussed during today’s call in the supplemental package. If you did not receive a copy, these documents are available in the Investor Relations section of our Web site at www.bostonproperties.com. An audio webcast of this call will be available for 12 months in the Investor Relations section of our Web site. At this time, we would like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, Boston Properties believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements were detailed in Tuesday’s press release and from time-to-time in the Company’s filings with the SEC. The Company does not undertake a duty to update any forward-looking statement. Having said that, I would like to welcome Owen Thomas, Chief Executive Officer; Doug Linde, President; and Mike LaBelle, Chief Financial Officer. During the question-and-answer portion of our call, Ray Ritchey, Senior Executive Vice President and our regional management teams will be available to address any questions. I would now like to turn the call over to Owen Thomas for his formal remarks.
Owen Thomas: Thank you, Arista and good morning everyone. Starting with current results, we just completed an outstanding quarter on virtually all metrics. Our FFO per share for the quarter was $0.04 above our prior forecast and street consensus, and we increase the mid-point of our full year 2017 guidance by $0.04 as well. We leased 3 million square-feet in the fourth quarter, which is an all time quarterly record in Boston Properties' history. For all of 2016, we leased 6.4 million square-feet, which is approximately 22% above our long-term annual averages. The most of this leasing will have a positive impact in future quarters, our in service portfolio occupancy is now 90.2%, which is up 60 basis points from the end of the third quarter. We had another quarter of positive rent roll-ups in our leasing activity with rental rates on leases that commenced in the fourth quarter, up 25% on a gross basis and 39% on a net basis compared to the prior lease. Also in the quarter, we announced several large scale new business wins, including the development of new corporate headquarters for both Akamai and Marriott and control of an important site on Pennsylvania Avenue in Washington DC. And to cap it all off, we announced an increase in our regular quarterly dividend of $0.10 or 15%. Let's move to the economic environment, U.S. economic growth continues to be positive, but sluggish. And as you know, recently released initial fourth quarter GDP growth estimates were 1.9%, which brought full year 2016 economic growth to 1.6%. The employment picture continues to improve gradually, 156,000 jobs were created in December and the unemployment rates flat at 4.7%. Though, there has been much written about the positive economic impact of the recent election outcome due to the prospects of increased fiscal spending and general regulatory relaxation, we think it's too early to underwrite such optimism and are taking a wait and see approach. In the capital markets, the 10 year U.S. treasury has risen, approximately 90 basis points to 2.5% since the end of the third quarter. We anticipate the Fed raising rates more frequently in 2017 with some prospect of further acceleration given the strengthening job picture and possibility of fiscal stimulus. Rate rises will be a headwind for the economy given the upper pressure on the dollar and result negative impact on net exports as we saw in the fourth quarter GDP figures. Given the growth in the U.S. economy, the office markets where we operate remain healthy. In the CBDs of our four core markets and West LA, net absorption was 1.7 million square-feet for the fourth quarter. And additions to supply were around 0.25 million square-feet. And as a result, the vacancy rate dropped from 8.3% to 8.1%. Acting rents rose approximately 1.6% year-over-year and aggregate construction levels are approximately 3.7% of stock versus an annual historical delivery rate of 2.7%. Now much has been speculated about a quote Trump bumped to office markets in Washington DC due to increased government activity, and New York City due to financial deregulation. While we see financial tenants more confident as a result of the strong stock market in the fourth quarter and legal and lobbing activity has increased in Washington DC, we believe it is too early to expect to experience broad positive leasing activity as a result of the speculated plans of the executive branching Congress. In the pride of real-estate market, aggregate transaction volumes were modestly lower in 2016 versus 2015. This was driven by fewer assets in the market and a slowdown in transaction activity after the election as interest rates rose sharply. We continue to believe there's a strong bid for high quality office assets in our core markets as several transactions were completed above replacement costs over the last quarter. Examples are, starting in Cambridge 1 Kendall Square, which is a 655,000 square-foot office and retail complex, sold to a domestic REIT for $1,125 a square-foot and a low 4% cap rate, and that includes value allocated at market value to a related development parcel. In Washington DC, our partner sold its 70% interest in 500 North Capital, a 231,000 square-feet office building located in the capital district, for just under a $1000 a square foot, a mid fourth cap rate to an offshore high net worth investor. In the Soma district of San Francisco, Foundry 3, a 291,000 square-foot office building sold for $1200 a square foot and a 4.7 cap rate to a U.S. pension advisor. And lastly in, LA 2700 Colorado, which is a 311,000 square-foot office building located essentially directly across the street from our own Colorado center, sold for $1165 a square foot to a corporate user. Several large asset sales are currently in the market and offshore investors remain active, and we think aggressive. One final note on the environment, there's also been much speculation on changes to the tax code initiated by the new President in Congress. Changes which could impact Boston Properties would be a corporate tax decrease, elimination of tax free exchanges, elimination of the deductibility of interest expense and full expensing of capital cost. While a corporate tax decrease would be beneficial to our customers and the other changes could impact our capital strategy, and we are analyzing various scenarios. We think it's again too early to determine the exact provisions of potential tax reform. So in summary, though, we're long into an economic recovery by any measure relative to history, we're not overly concerned about a near-term recession, given currently low interest rates and the prospects for fiscal stimulus and tax reforms. We're continuing to execute the capital strategy we've been employing over the last few years, which entails growth through aggressive leasing, selective development of pre-leased projects and target acquisitions of under-leased assets. We will protect the downside by keeping leverage at low levels and financing developments through asset sales and additional debt capacity from our increasing NOI. Now, let me move to the execution of our capital strategy, and I'll start with acquisitions. Our Washington DC team has two important new business wins this past quarter. First, we were selected as the developer by George Washington University for a site at 2100, Pennsylvania Avenue in close proximity to our very successful 2200, Pennsylvania Avenue project. Subject to securing 480,000 square-feet of entitlements, we'll enter into a long term ground-lease with George Washington University to develop and own a lease-hold interest in the property. This is one of the most attractive development sites in the Washington DC CBD, and we have substantial pre-leasing interest for the project. Entitlements could be completed and development commence in 2019 for a 2022 delivery. Next, upon conclusion of a highly competitive process we were honored to be awarded the opportunity to develop and own 50% of Marriott's new headquarters development in downtown Bethesda, Maryland in partnership with the local land-owner. The building will be 720,000 square-feet, and subject to entitlements and finalizing a lease agreement, the project will commence in 2018 and be delivered in 2022. At North Station, you recall we're in the middle of constructing a 385,000 square-foot mixed used building, which will also serve as a podium for separate residential hotel and office towers. This past quarter, we signed a long-term ground lease for the hotel parcel with who will be responsible for funding 100% of the improvements. We anticipate commencing the hotel and residential projects in late 2018, and will await a substantial prelease to commence the office joint venture. On dispositions, there were no new transactions last quarter. For all of 2016, we completed three deals for total gross proceeds to Boston Properties of $235 million in line with projections provided at the beginning of the year. For 2017, we anticipate continuing the selective disposition of non-core assets with projected total gross proceeds in excess of $200 million. Moving to development, we remain active, delivering assets in the service advancing our predevelopment pipeline and evaluating new investments. This past quarter, we delivered in the service 1265 Main Street, headquarters for Clarks in suburban Boston, which I described in detail last quarter. In terms of starts for the fourth quarter, in the Boston region, we've commenced the full redevelopment of 191 Spring Street, a 160,000 square-foot vacant building in Lexington and a new retail amenity building on the Plaza outside of 100 Federal Street. Our total investments in these projects in $85 million, and both are further examples of opportunities we have in our portfolio to profitability reposition assets and create additional amenities for our customers. We remain active advancing our predevelopment pipeline for projects that would start after 2016. Several updates from the third quarter include, we signed a letter of intent with our land partner for MacArthur Transit Village, which is a 402 unit residential project located in Oakland, California; whereupon full entitlement of the site, we have the right to develop and invest in the project on favorable term. This development would commence in 2018 and deliver in 2020. We also received site plan approval for the development of Akamai’s 475,000 square-foot headquarters at Kendall Center in Cambridge. This project will start this year, and be delivered in 2020. At the end of the fourth quarter, our development pipeline consists of seven new projects and three redevelopments, totaling 4 million square-feet and $2.3 billion of projected cost. Our projected cash NOI yield for these developments is in excess of 7% with material preleasing. In the aggregate, these projects are a significant growth driver for us over the next three years. So, to conclude, we continue to remain very enthusiastic about our prospects for growth and creating shareholder value in the quarters and years ahead. In our third quarter investor materials, we provided a roadmap to shareholders of our clear and achievable plan to increase our NOI by 20% to 25% by the year 2020, by delivering our current development pipeline on-time and budget and leasing up our existing assets from approximately 90% to 93%. And this growth profile excludes most of the new business wins I described earlier; the opportunity supported by our significant land banks and new opportunities that could be identified and executed upon, given our conservative leverage and strong balance sheet. So with that, let me turn it over to Doug.
Doug Linde: Thanks, Owen. Good morning everybody, Happy New Year. Consistent with Owen's remarks on the performance of the overall U.S. economy, as we begin 2017, I think about our own projections for the year where our view is that the overall health of the office markets really isn’t going to change too much from what we experienced over the last 12 months. We continue to see the bulk of office demand growth from the technology and the life sciences businesses, and pretty steady as we go from financial services and other traditional users. While, there is no question that venture capital investing slowed across industry types and regions in '16, there was still $70 billion invested, which is more than double what was invested in 2006 to put in perspective. And interestingly, there was more capital raise by the DC sponsors in '16 and in any year since 2006. So, there is a lot of money sitting on the side lines waiting to be invested. Demand from traditional office tenants and legal and the large financial services, has stabilized. While there are still sporadic space reductions stemming from changes in utilization and some downsizing, we have begun to see pockets of growth from these tenants in New York, and in San Francisco and in Boston. For instance, the new lease that was signed by Point72 who is currently in our building at 510 Madison with 2022 lease expiration is significantly larger when they moved to the Hudson Yard. In our portfolio we had 40,000 square foot hedge fund extend by more than 50% in our New York City portfolio. Accenture, which is tenant in Boston, is going to move into 888 Boylston Street and they are going to expand by more than almost 50% later this year. We have 45,000 square-feet private equity firm at the Prudential Center, and expanded by 10,000 square-feet. So, lots of examples of traditional tenants starting to feel better about their business and moving forward. New supply, however, has been delivered in all of our markets and along with the organic supply from the more efficient use of space at the last number of years, It still continues to impact the markets, particularly older buildings that don’t want to reinvest new capital. Before describe the various market dynamics, I do want to reiterate the phenomenal quarter our teams produced from an operating perspective. 3 million square-feet of leasing is a big deal. We completed 112 transactions, typical quarter about 80, so that’s about 40% more. And actively Akamai lease of 4 76,000 square-feet, the next largest transaction was only 200,000 square feet. Our same store results were positive across all the regions. On a net basis, San Francisco was up 76%, Boston was up 24%, the New York City office portfolio was up 14%, and DC was up a little less than 1%. Our operating platform continues to be, if not are, probably the critical strategic differentiator for this organization. I’ll start my regional comments with San Francisco. Last quarter and at the NAREIT Conference in November, we were responded to questions about sublet space and the resiliency of the technology tenant demand. There is no question that sublet space interfered with direct space leasing in '16. But as I described on our last call, each major block was quickly leased. Currently, the largest block of sublet space is about 80,000 square-feet, and there are only three pieces of space in access of 50,000 square-feet available on the sublet market and their average termites under two years. The majority of the sublet space in San Francisco is in units under 20,000 square-feet. And with regard to technology demand, just during the fourth quarter; Twitch, which is an Amazon subsidiary, completed 185,000 square foot lease at 350 Bush; Adobe is up 200,000 square-feet; Slack announced their 230,000 square-feet lease at 500 Howard. And by the way, they were an 11,000 square-feet tenant at 680 Fulsome Street our buildings two years ago. And last month a start-up called Blend took 50,000 square-feet at 500 Prime. On Friday, however, there was yet another article in the San Francisco Media, noting with concern that the near-term deliveries, including Salesforce Tower are an issue and how they might impact the market. While we can tell you, we signed 40,000 square-feet of leases in December, and we are completing the drafting of 100,000 square foot, four-floor lease that we expect to execute in the next few weeks with a tenant that needs late 2017 occupancy. With this commitment, we will have leased almost 1 million square feet at Salesforce Tower. This will bring us to 68% leased with 450,000 square-feet of availability. Tour activity is consistently strong, and we have begun marketing to partial floor users with occupancies as early as the fourth quarter of 2017. When we talk to the brokers’ community about their tenants in the market left, which they all maintain, there continue to be a number of 200,000 square foot prospects tech and traditional active in the San Francisco CBD market. At the moment, there aren't any blockbuster requirements those 500,000 square footers that we saw in '14 and '15, which is very similar to this experience we saw last year. But the overall market conditions, we've been describing for the last few quarters, remain the same. Each quarter there continues to be a new crop of technology company requirements in addition to the traditional lease expiration driven market. We think the real news in San Francisco is simply the stability of the markets. In West LA, we signed leases for more than 200,000 of our 350,000 square-feet of office availability at Colorado Center. And we extended another 190,000 square foot tenant. We have a number of discussions ongoing on the two final pieces of the base, one 40,000 and the other one's about 70,000. The purchase of 2700 Colorado by Oracle and their expected growth in that building has accelerated the tightening of the market in the immediate sub-area. Amazon, Snap, Oracle, Rightgames and Hulu all expanded in the sub-market during the quarter. We've completed the initial planning for our upgrade of the common areas, and we are moving into the execution phase on that plan. I want to start my discussion in the New York City region with the General Motors’ building where we've been very successful marketing the floors that we got back last July, the 33rd and 34th floors, we're asking above $170 a square foot in rent. We've leased 23,000 square-feet, have a lease-out for 40,000 square-feet and there’re exchange proposals for the remaining prebuilt suite. During this process, we found a number of tenants that want to be in the building but would prefer a lower price alternative, which we could provide lower in the building if we had available space. With that in mind, we've agreed to take back two lower floors from an existing tenant. That tenant lease expiration is in late 2020, and we reached an agreement to terminate the lease in exchange for a significant payment. While we are taking some risk on the lease-up, we feel confident we will lease the space at rents comparable to the expiring rent and have reduced our 2020 exposure at the building. We have also concluded all the leasing on the retail space on 5th Avenue with an expansion and extension with Apple, that mystery tenant we've been talking about for over a year. They will grow from 32,000 square-feet to more than 77,000 square-feet. And while they are undertaking their expansion, they are using the former FAO Schwarz lease on a temporary basis. This interim store is open, and they expect to reoccupy the renovated space in late '18 at which time we will deliver this interim store to Under Armor for their full build-out. The conditions we've been describing for the last few years in New York City still remain in control. We are not anticipating office run growth and we do expect higher concessions versus 2016 across midtown in '17. New supply continues to come into the market in the form of new deliveries and large blocks of space return to the market in buildings like 4 Times Square and 65 East 55th, or 1271 6th Avenue and soon 399 Park Avenue impact the market. Landlords that are putting capital into all their assets are attracting tenants, Major League Baseball went over to 1271 6th Avenue, and space that is attractively priced is also getting activity. In the latter part of '16, 270,000 square-feet of space was leased to three tenants at the base to 4 Times Square, the space Conde Nast moved out when they moved down to the World Trade Center. Our total New York regional office leasing activity in the fourth quarter was about 400,000 square feet. In addition to the lease at the General Motor's building, we completed two full floor deals at 599 Lexington Avenue and 240,000 square-feet at Carnegie Center. We’re starting rents of between $32 and $35 a square foot, and TIs are running between $0 and $6 per square foot per year. 159 East 53rd Street is under demolition and we've had lots of tour activity as the building has never been on the tenant reps radar since it's been occupied by Citi Bank since the building opened in the late 70s -- early 70s. We are marketing a brand new building with a greatly enhanced window line, brand new mechanical plan and tremendous outdoor space on each floor. We hope to deliver this 195,000 square-feet block to tenants in 2018 with revenue commencing in 2019. At 399 Park, our repositioning activities are accelerating, and we are offering products at various pricing levels from the mid-80s at the base to over $140 a square foot for our Oasis glass block with its 13 foot finish ceiling height on the 14th floor. The DC Central Business District office market fundamentals really haven't seen any demonstrative positive change since election. In fact, one of the recent executive orders putting a higher increase on significant portions of the federal government is probably unlikely to spur new GSA requirements. Landlords are still competing pretty seriously on available space and congestions in the DC are pretty strong, 10 years or more leases are getting 12 months of free rent and at least $100 square foot of tenant improvement allowances. DC is truly a forward leasing market for any sizeable space, and we're in active discussions with our new opportunity at 2100 Penn as Owen mentioned. With the right products and the right locations, you can break away from the commodity leasing market and make a lot of money in D.C. There continues to be specula buildings under construction, ageing buildings are being repositioned and there're still lots of buildings with over 100,000 square-feet of space, but again you can still make money in DC. This quarter, our most significant DC lease was 10 year renewal with the GSA at 500 East Street for over 200,000 square-feet. The one area in the DC region where we've seen the potential for pick-up in activity is around the defense and the intelligent users in Northern Virginia. Activity at our VA 95 single storey product, which is adjacent to Fort Boulevard has accelerated significantly, and we're on lease negotiations with two tenants one for 53,000 square feet and the other for 69,000 square feet. And finally, I want to describe the pending development in Bethesda. Marriott is leasing 100% of the office space we're not involved in the hotel that’s also part of that development. And when the building is completed in 2022, the building will be 100% leased. It's premature however to discuss any of the financial details. So, if you ask any questions, you're not going to get a very satisfactory answer from us this quarter. In Boston, as Owen reported, we completed our lease with Akamai on the site of our existing 79,000 square foot 145 Broadway building. With the recent news of MIT's acquisition of the Volpe site for $750 million, I think it's fair to say that the new Akamai lease that we signed this quarter is already well below market. Our Cambridge portfolio was 98% leased. A few quarters ago, I described the possible opportunity to recapture the Microsoft base at 455 Main Street. This Microsoft consolidated into an adjacent building in Cambridge. Well, it happened and we’re getting 100,000 square-feet back on December 31st of this year and the current rent is $50 gross. Across the river in the Backbay, we had a very active quarter. We leased 64,000 square-feet at 888, Boylston Street, bringing the office building to 89% leased. We leased 200,000 square-feet at the Prudential Center. We did 55,000 square-feet at 120 St. James, and 33,000 square-feet at 200 Clarendon. Activity at 120 St. James is robust, and we are in lease negotiations on the majority of an additional floor, and have four active letter of intent negotiations ongoing right now for the remaining space. We’ve introduced our plans to create high-end pre-build sweets at 200 Clarendon, and have seen a meaningful pick-up and interest on that space as well. While the Boston CBD continues to be predominantly a lease expiration driven market, during the steady flow of new market entrance as well as some growing technology companies. This quarter Reebok announced the decision to move into the city, and the interest we are seeing for the 175,000 square-feet of office base at the first space of the hub, which is under construction, and will be delivered by the second quarter of 2019 has exceeded our expectations. The pace of activity in our suburban portfolio was equally strong during the fourth quarter. We completed more than 300,000 square-feet of leasing, including adding another life science firm to the portfolio with 46,000 square-foot lease at 140 Kender Street, which brings that building to 100% leased. We commenced the redevelopment of 191 Spring Street and are in negotiation for an 80,000 square-foot lease tenant, which we expect to have in place before the end of the fourth quarter of '17. High quality space is at a premium in the Boston suburbs. So, going back to our bridges, in November, we published a slide-deck which included an update on how to think about our growth over the next 36 months, which is what Owen was describing. The first slide illustrated the incremental share of NOI, we believe we could achieve through an increase in occupancy from our high contribution buildings. The total incremental contribution was projected to be about $111 million. To-date, we’ve signed leases where we have not yet began recognizing revenue totaling $56 million, and about $22 million of that will start to hit the books in 2017. The second slide illustrated the map of a ramp-up of our income from our development investments. We showed meaningful additions to our lease-up of these assets this quarter, including the 475,000 square-foot pre-leased of Akamai, 64,000 square-feet at 888 Boylston Street, 40,000 at Salesforce with that other 100,000 square-feet coming on in the very near future. We are progressing on completing the leasing of our development assets necessary to generate the incremental run-rate of $234 million of NOI annually by the beginning of 2020. And with that, I’ll let Mike talk about this quarter.
Mike LaBelle: Great. Thanks, Doug. Good morning. I am going to start with a few comments on capital raising this morning. As Owen described, we have strong opportunities to continue to expand our development pipeline, and we’ve active in the capital markets, considering funding options for that. As we’ve discussed before, with our relatively low leverage, particularly if you calculated on a pro forma basis for the delivery of our developments, we do not anticipate raising public equity. And we expect to focus our capital raising activities on the debt markets and moderate asset sales. This quarter, we raised an incremental $200 million. This included the closing of $250 million construction loan from a consortium of banks for our Brooklyn Navy Yard development and $40 million 15 year mortgage on our recently delivered new development at 1265 Main Street in Waltham. We own 50% of each of these projects, so our share of the proceeds will be $145 million. We also closed on the partial sale of Metropolitan Square in Washington DC where we’ve reduced our interest from 51% to 20%, and raised net proceeds of $58 million. Our current pipeline has approximately $1 billion to fund through the end of 2019. And in addition to using our available cash balances, we expect to be active in the debt markets in 2017 raising additional capital. Our earnings guidance assumes that we utilize our untapped line of credit to fund the incremental development cost. But it is likely that we put in place additional debt facilities during the year, which could increase our interest expense guidance depending on timing. So, turning to our earnings for the quarter, we had a strong quarter, and we exceeded the midpoint of our guidance range for FFO by $0.04 per share or about $7 million. The portfolio beat expectations by about $4 million of this through a combination of earlier than projected leasing wins and lower than anticipated utility acceptance. As both Doug and Owen described, we had a strong quarter of leasing, including early renewal activity that had rental rate increases in suburban Boston, at Colorado Center, in West LA, and at Embarcadero Center in San Francisco that increased our revenue for the quarter. We also earned about $4 million higher fee income than we expected for the quarter. A portion of this emanated from higher utilization of services across the portfolio that included a substantial amount of overtime HVACs in New York City, which demonstrated growing economic activity at our clients there. We also generated nearly $2 million in leasing commissions at a property that we manage on a fee basis. As Owen mentioned this quarter, we closed a long-term Air Rights lease with a hotel operator who is going to build 270-room hotel at our hub on Causeway development in Boston. We will provide development and management services to the project over the next three years, and we commenced earning development fees this quarter, which was a little bit earlier than we projected. And lastly, we incurred $1.2 million of debt deal related expenses that we had not budgeted, which partially offset the gains from fee income in the portfolio. Our FFO run rate from third quarter to fourth quarter is up significantly by $0.12 a share. About $0.05 of this is from seasonality and our operating expenses and above normal fee income, but a substantial portion relates to growth in our revenue base, as well as well as lower interest expense from the refinancing activity that we completed in the third quarter. Our revenue run rate is higher by about $0.05 per share from increases in occupancy and rolling-up of rents on leasing activity with strong contributions at the Prudential Center in Boston, our suburban Boston portfolio and Embarcadero Center. As we look forward to 2017, we have increased our guidance for 2017 funds from operations by $0.04 per share at the midpoint from last quarter. A strong fourth quarter leasing success includes a number of new leases and renewals that will start to enhance our revenues in 2017. The deal activity in Boston, Los Angeles, and San Francisco will have the most significant impact. And in Boston, this includes significant leases at Prudential Tower at 120 St. James, Kendall Center and multiple leases in our Waltham portfolio. We're continuing to see strong activity on the remaining 115,000 square-feet of availability that we have at 120 St. James where we could see incremental income in 2017, and certainly by 2018. The leasing of the 190,000 square-feet of high value availability in the mid and high rise at 200 Clarendon Street is unlikely to generate significant revenue until 2018. The successful leasing of over 400,000 square-feet of new and renewal leases that Doug described at Colorado Center is also resulting in growth in our 2017 revenue. We have 150,000 square-feet of remaining vacancy where we project modest revenue towards the end of 2017 and more meaningful contribution in 2018. The leasing in the New York City portfolio was mostly renewal activity, and new leases geared towards 2018 rent commencements. As Doug mentioned, we entered into a termination with a 75,000 square-foot tenant in the GM building. This transaction results in approximately $0.03 per share of additional income in 2017, which is the net impact of our share of the termination payment, offset by the loss of cash rent for the remainder of 2017. We will be reclassifying recurring income to termination income, which moves it out of our same property projections. With the pickup in portfolio leasing elsewhere, we are not changing our assumptions for growth in our share of combined 2017 same property NOI of 2% to 3.5% from last year. However, for cash same property NOI, we are moderating our assumptions for growth by 50 basis points to 1.5% to 3.5%. We project temporarily losing cash income at the GM building, while gaining straight-line rent across the portfolio from new leases that have free rent periods at inception. Our projections now assume non-cash straight-line rent of $55 million to $80 million in 2017. This quarter, we added the 191 Spring Street redevelopment to our development pipeline, the 160,000 square-foot building in suburban Boston will undergo $53 million renovation, including leasing costs. The project also includes approximately $3 million of demolition costs that we expect to expense in 2017. To account for these expenses, we've reduced our projections for the contribution from the non-same property portfolio to $18 million to $25 million. The only other meaningful change to our 2017 guidance this quarter is related to development and management services income where we increased our guidance range from $27 million to $33 million. In conclusion, we're increasing our 2017 projected FFO guidance range to $6.13 to $6.23 per share, an increase of $0.04 per share at the midpoint. The increase is projected to be driven by $0.03 per share from the net impact of lease termination, $0.02 per share of improved portfolio performance and $0.02 per share from fee income, offset by $0.02 per share of higher demolition expenses and $0.01 per share of higher G&A expense. Our 2016 results includes $58 million or $0.34 per share of termination income. This is much higher than our current assumption for 2017 of $16 million to $18 million. Adjusting for the impact of the change in termination income from year-to-year, we're projecting strong FFO growth of nearly 8% in 2017. And as a result of our growth from our 2016 performance, we also increased our dividend in the fourth quarter by over 15% to an annual rate of $3 per share. That completes our formal remarks. Operator if you want to open the line for questions if you can?
Operator: [Operator Instructions] Your first question comes from the line of Manny Korchman with Citi.
Manny Korchman: Doug, question for you. You went through -- the market as we typically do, the one question I have walking away from that is if you took DC specifically as a market, how do you feel about DC, especially CBD today versus a year ago, because I couldn’t kind of place where your mood was on that?
Owen Thomas: I’ll give you my reaction, and then I’ll let Ray give his comments. My view is nothing has changed in DC proper. We’ve seen a market that is forward in terms of its leasing, and there are basically very few large transactions that are going to hit in 2017, '18 or '19 that are impacting those years in terms of rental rates. So all the leasing is forward. And so, if you have a block of available space today, it's going to be hand-to-hand combat, as Ray like to say in terms of getting that lease that’s basically. And there is new suppliers coming online, and there are tenants in significant -- or landlords that are significantly improving their quote-on-quote edging beauties with new capital. So, it's a very competitive market for second generation space, and there is not a lot of new demand generators in the district itself. Ray, I don’t know if you have any other thoughts.
Ray Ritchey: Well, this will come as a shock, but I have a little more optimistic viewpoint to Doug. I would agree with Doug. The market is bifurcated between the traditional as we call edging beauties the buildings that have been that represent the A Class buildings for many, many years, but has being a little bit more challenged. But it is amazing to us, the demand for high level, trophy level space, new construction and thus showing the success we had 61 Mass and the interest we’re receiving at 2100 Penn. We’ve had control of the property now for two or three months, and we’ve got three or four major law firms that we’re in active discussions in. Even though that occupancy will take place in '21 and '22. So it's a very, very differentiated market, high-end trophy space, as strong as ever. The space has been kind of bypass because of new technology, new configuration and new locations, is facing some challenges. But we are still very, very optimistic. We think the law firm consolidation has been running at full course. There is one dynamic of the Trump is we’re seeing a lot of associations, corporations, others engaging law firm and lobbies to understand what the Trump dynamic will mean. So, we are seeing -- and as Doug referred in the call, we’re seeing an uptick just in the last month or so in the defense and intelligence related community demand. So, one maybe view the glass half full, I view as the glass almost due to the top. We’re feeling very good about the upper in space.
Owen Thomas: So, Manny, I actually think our comments are pretty consistent. So, when we referred to 2100 Penn you talking about leases that are commenced in 2022. It's a forward leasing market, and we’re very encouraged about how we’ll do at 2100 Pennsylvania Avenue. But we have available space in '17, '18, '19, you’re going to struggle.
Manny Korchman: And maybe just second from me, was there anything specific driving the large leasing volumes in the fourth quarter that will slow with just a lot of walking tackling, What's the favorite going forward on just leasing volumes looking at the first half of '17 specifically?
Ray Ritchey: Let me say one thing and then I’ll let Owen comment. There was not one deal that was done during that period that was originated during the fourth quarter. So, everything is ongoing. And I would say that to the extent that things were getting done it was because it was the end of the year and people want to get paid on the brokerage side. And there's an emphasis on getting deals completed. I would also say that there was more confidence in the business community after the results of the election, and that probably you know pushed things further along quicker than they might otherwise have been.
Owen Thomas: No, I think that's all right. There were a -- like the Akamai was a lumpy lease, obviously. As much as I’d love to think $3 million would be a run rate quarterly leasing volume for us, that's not going to be the case. It was an extraordinary quarter, and there were some special circumstances, but the markets remained healthy. And I think the other thing that happened is I'm very proud and pleased with our leasing professionals around the Company. I think they very much focused on our goals for the year, and performed accordingly. So, starting with the combination of all these factors a healthy market, some lumpy leases and focused execution by our team.
Operator: Your next question comes from the line of Jed Reagan with Green Street Advisors.
Jed Reagan: You guys had a pretty good pick-up in occupancy, and you're now back over 90% portfolio-wide, as you talked about. Do you guys track that on a percent lease basis, if you include leases that haven't, that have been signed but not commenced? I am just trying to get a feel for how that number might be trending following the really good quarter of leasing?
Michael LaBelle: We don't -- we can figure out the numbers we have. We can look at and we know specific situations where we have you know large tenants, for example, at 250, West 51st Street. We have an 85,000 square foot tenant that hasn't taken occupancy yet. We have 25,000 square foot tenant at GM building that hasn't taken occupancy yet. We have some tenants across the portfolio where we think about distinct situations where we can look at it. We've not aggregated that and looked at it on a forward basis. We do obviously look at what our occupancy is going to be over the next couple of years. And our view for this year is that we’re still going to average between 90 and 91%. Our occupancy should go up in the first couple of quarters. And then at the end of the year, we’re going to lose occupancy at 399 Park Avenue in New York City, which is going to bring it back down a little bit. And as Doug described in his notes and what we’ve disclosed in our investor presentations are that, look, we've got some vacancy in some buildings like 200, Clarendon Street, Colorado Center, 601 Lex, where we believe we're going to fill these spaces up. We're highly confident we're going to fill these spaces up over the next couple of years, and move our occupancy up into the 93% area.
Jed Reagan: And just I guess sticking with you, Mike, you mentioned some of the debt activities you're exploring as you’re looking to fund development. Just order of magnitude, curious how much incremental debt you might be looking to issue this year. And where you think your debt to EBITDA might finish the year versus where we're sitting today?
Michael LaBelle: On a net debt to EBITDA basis, I would say that we still believe that we’re going to be kind of ranging somewhere to the low 6s to 7s. And then when the income starts coming in as we deliver developments, it's going to come down. The capital that we're going to be raising, if you look at the outflows, we've got $1 billion worth of outflows over the next couple of years. I would anticipate, in 2017, we're going to need to raise somewhere in the $500 million to $700 million area to fund what's happening in 2017. Fund the development outflows that we've going something in that zip code.
Owen Thomas: And Jed, I think the way to think about it is, if you think about our development outflows, as Mike described, that's the money that we're going to spend, we will probably raise more than that. A lot of it will be in the form of either term loans that can be drawn down upon or our line of credit, enhancing it in terms of size. So a lot of the capacity may not actually be dollars that are sitting on our balance sheet, they just maybe availability of dollars that we have.
Jed Reagan: And just to clarify Mike, you mentioned the low 6 to 7 range on debt-to-EBITDA. What -- just how does that compare to your spot debt-to-EBITDA at 1231 on your numbers?
Michael LaBelle: We’re in the low 6 of that, I believe 6.4 or something like that, I believe.
Jed Reagan: Okay. Great, thank you.
Michael LaBelle: That's moved up a little bit as the development fundings occur, because we don’t have the cash coming in. So, as you fast forward to the cash income coming in from those developments, it's going to come down significantly.
Operator: Your next question comes from the line of Alexander Goldfarb with Sandler O’Neill.
Alexander Goldfarb: Just a few questions here, first, just in reference to Doug, I think you said flattish leasing market here in New York, and you referenced the demand from more lower floors in the GM building. As you guys look at your availability here in New York, how much of it would you say is in that value sweet spot, call it, whatever $80, $90 under $100 a foot versus how much is in the over $100 foot?
Owen Thomas: I'll take it a stab at that and then John Powers you can correct me if you think I'm misstating it. So, the biggest bulk of our quote-on-quote value space defined as you just described it is, 100% of the space at 1590 53rd Street, so that's a 195,000 square feet and probably 200,000 plus square feet of the space at 399, so call it 400,000 square foot and then we have 300,000 plus square feet of space at 399 that would be in excess of that. And we have 50,000 square foot of space at the top of 250 West 55th Street that would be above that number. And these two floors that we're getting back from a tenant at General Motors’ building would still be well in excess of that $90 plus square-foot. John, am I missing anything?
John Powers: No, I think that's it, probably half and half.
Alexander Goldfarb: So, John, so half is in the sweet spot half is in the elevated numbers, right?
John Powers: Well, you say the sweet spot. I think Doug is using your terminologies, under 100 and over a 100.
Alexander Goldfarb: So, what would you term -- so how should we think about it when we hear from the brokers that hey it's a competitive market, tenants have a lot of choice. But it sounds like you guys had good activity with certain spots, rent spots in the market?
John Powers: Yes, every product is a little different. If you look at 159, that's a very unique offering. It's almost a new building, and it's going to be spectacular, it's got a lot of outdoor space. So, I'd say that is very much in the sweet spot of the market, because that will be priced under $100. But we have space at 399, in the tower there that is sweet spot, and now it's 25,000 foot for the core that's a great building. So although be below that's over a 100, it's not a 150. And so people that are looking for high quality might find that to be their sweet spot.
Alexander Goldfarb: And then the second part is you mentioned the need to spend on buildings here in New York, or maybe even in DC to attract the tenants and get the tenants. How do you guys separate out spend that’s basically just necessary to get the tenants to come in versus spend that you’re getting in incremental return on the investment?
Michael LaBelle: So, we’ve talked about this before and there are two ways to think about this, Alex. So, the first way to think about this is either investment that we’re making that actually have an incremental NOI contribution. And so, what we do is we think about our buildings and we say if we don’t do anything what can we rent the space for and how long might it take. And if we do something what will be the rent be and how long might it take. And in many cases, we actually think that additional capital is going to both enhance the rent that we’re achieving and reduce the downtime that we’re achieving. There are also incremental investments that we’re making in these buildings. We’re actually achieving additional income. So, as an example at 601 Lexington Avenue, there is a -- that first instance, we think we’re going to achieve 7% to 12% return on our capital, because we’re going to get a significantly higher rent than we would have otherwise gotten have we simply leased the space as is. And we’re also redoing the retail space and we’re going to get incremental revenue on the retail space. But what we said is the return on the retail space really is about for the building. And so will that retail space reinvestment improve our ability to generate higher return, aka higher rents from the rest of the space at 601, and we think that’s in fact the case. And given the amount of the investment, you don’t have to get more than a buck or two in order to have a pretty significant return. So, we’ve got how we think about these things. Now there are other situations where we’re doing a lobby or where we having to replace an edging window system or the elevators need to go from a called to a destination. Those types of improvements are much harder to quantify in terms of a dramatic change in the overall environment of the building and there when I referred to more sort of recurring capital investments that are critical not revenue producing.
Operator: Your next question comes from the line of Steve Sakwa with Evercore ISI.
Steve Sakwa: Doug, I guess, maybe you could talk a little bit about your Brooklyn project, and the demand that you’re seeing for that development?
Owen Thomas: John, that one is for you.
John Powers: Okay. Well, we’re very excited about the projects. And this is a big days for us, because the first piece of scale went up this morning. So, we’re rolling along. There is no -- the buildings built all above grade, so there is no foundation. So, the building will spectacular. It's got all the amenities of a new building, floor-to-floor heights, et cetera. And we’re working with the Navy Yard and the transportation side. I think it's a little too early for the leasing. We brought it out to the brokerage community, and I think it's going to well receive.
Steve Sakwa: I mean, John, can you just maybe talk a little bit about what the tenants were saying? I know transportation is a bit balanced there. So, what are you sort of facing or hearing from them?
John Powers: Well, in the -- look, the first part of this is going out to the brokerage community overall. And I think we’ve done that pretty successfully. We have to get closer to the date when the building is done to talk to specific tenants.
Steve Sakwa: I guess transitioning maybe to the West-Coast, Doug. Maybe talk a little bit about the search for a senior executive and run that region. And just what are the other opportunities that you’re may be seeing in the marketplace today, because it sounds like you're making good progress on the leasing front of the vacant space. So what other opportunities have you sort of found or uncovered?
Owen Thomas: So, Steve it's Owen. We are off to a great start in California. We bought Colorado Center, as you know, last year with 66-67% leased. We've leased I think two-thirds of the vacancy and have good activity on the balance. And we have a comparable sale across the street that's well in excess of the basis that we paid for the building. So, we're in a new market, an important market, we think long-term for the Company and we're in there on a profitable basis. And I think, operationally, the asset has been seamlessly integrated into Boston Properties. And Ray Ritchey has done a wonderful job overseeing the leasing and repositioning of the assets. So, your question is where do we go from here? We are going to hire this year a regional head for Los Angeles. We're conducting an outside search, and we're also considering internal candidates for this spot. So, that'll be an important internal step. In terms of deals, one of the attractiveness of the West LA market where we intend be active is development is difficult, entitlements are hard to come by, it preserves value. And therefore, it is harder to grow. That being said, I would say we have a bead on, I would say at this point, something like half a dozen different opportunities, some of them are sales of under-leased buildings, some are repositioning of existing assets and some are development. As we said before, we're delighted to be in LA. We're going to grow overtime. We want to be a leading land lord and developer in the market, but we also are pushing pressure on ourselves to do that overnight. We want to continue to do it the way we did with Colorado Center and do it on a profitable basis. And I’m hopeful this year that we'll be able to add at least one other asset to our portfolio. And if we can find something on a basis that makes sense financially for shareholders, we're going to do that.
Steve Sakwa: And then just last question, I guess, the new retail has opened at the Prudential Center. Doug, I don't know if this is for you or someone else. So, maybe just talk about how that's performing and then the feeder that’s been maybe for the office and what demand that's been for office tenants into the Backbay?
Owen Thomas: Sure .So for those of you who are unfamiliar with what's going on at the Prudential Center. When we built the 88, Boylston Street at the same time, we basically demolished what was the Food Court, reinvented it as a 45,000 square foot Eataly and also added another floor space to a portion of the Prudential Center, which we refer to as the flagship. All of that space is leased, and Under Armor, Eataly, organization called Aritzia, the floor expanded. We've got a whole new roster of tenants. And based upon the foot traffic, particularly in what we referred to as the slower times, the Eataly has really been a very positive revenue enhancer to the Prudential Center, and it’s driving traffic not just from a retail perspective but actually it's been driving traffic from a parking perspective. So we actually have a lot of visitors that are coming to the Prudential Center parking and paying for a couple of hours of parking as well, which is important. We have a couple or more of these types of opportunities in front of us. But I think the relevancy of the Prudential retail is stronger today than it has ever been. It's a place that people want to come, and I think it has generated a buzz amongst the retailers so that other retailers want to be here as well. And so, we're feeling really-really good about our incremental investments there.
Operator: Your next question comes from the line of Blaine Heck with Wells Fargo.
Blaine Heck: Maybe for Doug, you guys obviously had very healthy rent spreads on the 650,000 square-feet of commenced 2nd gen leases during the quarter, up 25% on a gross basis. But can you talk a little bit about maybe what the spreads look like on the 2nd gen leases executed during the quarter? And what should we expect for rent spreads throughout 2017?
Michael LaBelle: I'm going to be honest with you. On 3 million square-feet of space and we didn't calculate the number on the step that was executed this quarter. In general, what we are seeing is that our San Francisco area leases are leases that are less than -- more than five years, generally are somewhere between 40% and 50% on a gross basis, doing upwards of 70% on a net basis. Our rents in New York City typically are up 5% to 7% or flat. And we talked about this before, there're certain buildings, 399 being the best example, where we're basically going to be working hard to maintain the same rent level that we had on a basis prior to their expirations. On the other hand, in a building like General Motors’ building, we were taking space back at $100 plus a square foot and leasing it at a $150 square foot. We're seeing a very significant uptick. So, it's very much depending upon the space. Washington DC we have the -- the fortunate or the unfortunate circumstance of having leases in that market that are going up annually by 3% plus a year. So in general, when a lease rolls over in Washington DC, it's probably at market or slightly above market. And so that's why I think you see, in general, a pretty moderate roll-up or roll-down in Washington DC overtime. And then in Boston, again, I think you're seeing a pretty consistent growth in rents. Anything in Cambridge is probably 100% on a net basis, anything in the Backbay is probably somewhere between 25% and 35% on a net basis, and in the suburbs are between 10% and 15%, because we're generally rolling rents from them, mid-to-high 30s to the low-40s.
Blaine Heck: So, just as a follow-up to that, it looks like roughly half of your expirations are in New York in 2017. So is it fair to say we should see that spread moderate as we go through?
Michael LaBelle: Yes. As I said, the majority of that expiration in New York City in 2017 is at 399 Park, which I just referred to and it's a pretty flat expiration. I think I said in the past that net-net we're a couple of bucks of square foot on average when we lease all that space up above where we're currently expiring.
Blaine Heck: And then Mike a little bit more granular question, it looks like cash same-store NOI and your share is going to boost this quarter from the year-over-year change in straight line ground rent expense. Can you just explain what's going on there, and whether you expect that to continue to be a tailwind going forward?
Michael LaBelle: This is an interesting situation actually, so I'm glad you brought it up. At the Backbay Station garage, so we own the garage. We extended the ground lease on that garage when we got the additional rights to develop over Backbay station. And what we did is we agreed to pay $37 million in ground rent, and straight lined it over a 99 year ground lease term. The payments associated with that go out as we improve the station, so as the dollar go out. So in the fourth quarter of 2015, we spent $5 million improving some installation there, and in fourth quarter of '16 we spent very little, so that was a boost to our casting store from '15 to '16. We are dependent upon the budgeting of the MBTA to figure out when these costs are going to out, so they are hard for us to judge. But I would say, over the next two to three years, we could have some lumpy quarters where some of this all the sudden hits. In 2017, we don’t have a significant amount of expectation, because again they are planning, it has been a little bit slower. So, we don’t have a strong projection as to the exact timing, so we do not expect much to go on in 2017.
Blaine Heck: So none of that tailwind is incorporated in guidance?
Michael LaBelle: No, I mean if anything, it's is going to be a headwind in the quarters when we have these dollars, and we’ll have to explain it in that quarter, because it's really kind of an unusual thing.
Blaine Heck: Great, that’s helpful. Thank you, guys.
Michael LaBelle: We’re pre-paying ground rent that we’re straight-lining over 99 years.
Blaine Heck: Right.
Michael LaBelle: So we will point it out when it happens so that people understand.
Operator: Your next question comes from the line of Jamie Feldman with Bank of America.
Jamie Feldman: I guess, just going back to Ray, can you talk more about what you’re seeing in the suburb, you guys gave a lot of color on CBD. But it seems like you had some traction on leasing. And then just kind of bigger picture as we’re sitting here this time next year, what do you think it's going to go different in DC?
Ray Ritchey: Again, I think like downtown, the suburbs are sub-market by sub-market, western still remains very strong. We got less than a 3% vacancy and strong demand there. Tysons seems to be -- again that is not a market we’re in, but seems to be getting some legs revitalization in the defense and the intel market. We’re seeing some net migrations into the region, some corporations outside of Washington they are looking at suburban options. What is funny, I went to the Cushman briefing last night on where the market is headed, and they are very big on the maturation of the order of generation, moving out to cities, forming households, having children, looking for better schools. And that’s going to drive great demand in the suburbs in the coming three to five years. Along those lines, we saw on the Dallas corridor, if you wanted more than 50,000 square-feet in the Dallas corridor, you only have three to four options to choose from. Whereas this time last year, you probably had 10 to 15. The 270 corridor still very weak, nothing to really report there, and of course with our announced Marriott deal pulling Marriott out of the North Bethesda market that will be a continued challenge we know that will come in the future. On the defense intel, as Doug mentioned, our two parts that are most directly associated with defense and intel and Apple's junction in VA 95, we’ve had tremendous activity on those -- both those properties in the last three to five weeks with over 250,000 square-feet of prospects coming in since the election. The army corridor Roseland, Boston, I think they’re starting to stabilize, and getting some traction. But as long as there's value downtown, the close-end suburbs don't have their natural feeder market to generate demand as much as they would like to see. So, again as with downtown, it’s much more market-by-market, although the general trend is more positive.
Jamie Feldman: Given the shift, it seems like contractors are getting a little healthier, at least the expectations post elections. Do you have any thoughts in growing more there, or continue this one?
Ray Ritchey: I mean, if the Trump initiative about freezing government hiring if that put into place, this is not the first time this has been tried both President Reagan tried to do this back in the early to mid 80s. And all that happened was the defense contractors, the private sector guys, expanded greatly to fill the void. And we'd much rather prefer doing deals with private sector contractors than try to work with the GSA on government expansions. So if in fact the freeze is put into place, we view that as a positive thing in terms of the -- the demand for those services aren’t going away. And so because it shifted from the public to the private sector, that's a good thing for Northern Virginia landlords.
Jamie Feldman: And then just shifting to the GM building, maybe Mike, can you just walk us through the ins and outs there as we think about how the model is going to look the next couple of years. And also the Apple lease, can you talk about the NOI?
Douglas Linde: So, I'll refer to -- answer the second part of your question first. So we've talked about the Apple lease before, and the Under Armor lease. And I think I don't have it in front of me, but my recollection is that we're going from somewhere around $50 million plus of NOI currently to somewhere over $85 million of NOI when Apple moves back into their rehabilitated store and Under Armor has completed their work and/or gets to live in their space and they're starting to pay on a full run rate basis. And so I think that’s that part. On the General Motors’ building office space where as I think we might say we have a termination income this quarter and next quarter as the tenant moves out of the space that they're moving out of in the lower floors and then we have to lease it up. And John, if I say, we’re going to lease it up in the next two days, you're going to say no. If I said we’re going to lease up in the next year or so, he's going to say absolutely. And so the timing of that's going to depend upon the condition of the space when we leased it up, and the overall leasing strategy we have for it. So, I don’t think there's a lot to change there over the next couple of years in General Motors.
Michael LaBelle: And the only other thing is we do have the 80,000 square-feet of current vacancy that we’ve got that in July. So, as Doug mentioned, we've leased about 25,000 square-feet of that and we’ve got good activity on the rest that none of that space will hit in 2017, because it's got to be built out. But I would expect all of that space should hit in 2018, I mean, that's high value space.
Jamie Feldman: And is the termination -- is that Estee Lauder, or is that lease still under discussions?
Michael LaBelle: As the Estee Lauder has lease expiration they're in almost 300,000 square-feet space. So what we're dealing with is another intendment to both.
Operator: Your next question comes from the line of John Guinee with Stifel.
John Guinee: Ray, talk a little bit about JBG Smith they’re coming on the radar screen. Any new hires there, any senior leasing guys that you think are particularly talented?
Ray Ritchey: That's a interesting question to answer. To those of you who don't know my son, David, recently joined head of the leasing of the combined firm. And I’d say he's got one of the most challenging jobs in Washington, but it's sort of like Luke Skywalker and Darth Vader going head-to-head. So we'll see how that works out in the future.
John Guinee: And second, you've been pretty busy you’ve got the 2100 Penn deal done. You've got the Marriott deal. You've done a lot in L.A. I don't know if you’re going to miss these deals or not. But can you talk a little bit about the potential Nestle headquarter relocation to DC, as well as the FBI never ending saga?
Ray Ritchey: I can make absolutely no comment on Nestle. First of all, I've no knowledge on Nestle, and have none capacity to comment on that at all. On the FBI, I inquired to my sources within the GSA what the impacts would be on the FBI deal on the change in administration. She says full steam ahead. But I cannot believe a President as actively involved in real-estate with such an interest who owns a major asset directly across the street from the FBI building, will not have a very profound and active role in seeing what the future that maybe. But according to GSA, it's full steam ahead, there's still three candidates left for that site. We elected to not to participate in that, even though we were selected as the finalist about a year ago and there is still three sites, two in Maryland one in Virginia that's being considered.
Operator: Your next question comes from the line of John Kim with BMO Capital Markets.
John Kim: It sounds like the leases signed this quarter were partially cyclical in nature. But I was wondering if you could categorize at leases between expansionary versus maintaining or reducing space?
Douglas Linde: I would gather to guess, I don't have the list in front of me that there is virtually no reduction in space by any of the tenants that signed the lease this quarter. And there was likely modest expansion in the majority of the leases that were not straight renewals.
John Kim: So, it seems like from your commentary that the tenants are more optimistic than maybe perhaps you are at this point. Am I reading it correctly?
Douglas Linde: No, I actually think we're optimistic about the demand. I think our point is that there's additional supply out there. And so when you have additional supply, you still have to deal with needing to grow more than that incremental demand to make a meaningful impact on the availability and the vacancy rates, so that you can drive rents. And there's just not enough of it overall in our marketplaces to do that. So things have -- the rate of growth has moderated, which we've talked about before. As I said, we're seeing demand growth from the technology and the life sciences businesses across the Boston marketplace and the San Francisco marketplace, and in New York City. We are seeing small signs of stability and positive growth from some of the smaller financial services companies in and around New York City and in Boston, and in San Francisco. But there happens to be more supply coming online, and that supply is impacting the market from an overall availability perspective. And so, it's awful hard to drive rental rate increases in a market like that.
John Kim: I may have missed this. But can you provide the dollar figure on the future development projects that you announced last night?
Douglas Linde: We have not yet come out with an official budget. The only development projects that we announced -- the word announce, I am going to make sure is what the right one is. We signed a lease for a development for Akamai as Owen described. That project is in Cambridge and that project will have a budget about somewhere around $400 million plus or minus. We’re working through our budgets right now, so we haven't published the number in our supplemental information yet.
John Kim: And so, how do you trying to fund the development, it sounds like you have $200 million of dispositions in your guidance. But I am not sure if that is surely for guidance purposes, or if you actually think you’re going to sale more than that amount?
Ray Ritchey: I think that as we have described our expectation is that we’re going to raise that capital to fund our development outflows over the next few years. If you remember, the building that Doug is describing, that’s not going to be done until the first quarter of '20. So, this $400 million that goes out over three years of the timeframe. So, given our leverage situation, we would anticipate that we would fund that through additional debt. I mean, there could be moderate asset sales over the next couple of years that we will supplement that. We do not typically put dispositions in our guidance, so just to point that out. We are looking at potentially $200 million of maybe asset sales. We haven't identified those asset fairly. So that’s necessary in our guidance today, just to be aware.
Michael LaBelle: I think you asked a good question, or one that deserves what I think is a very optimistic answer on our part, which is that, and we’ve been saying this consistently for the last year or so. We don’t have any intension to raising any equity, and we believe that as the cash flow from our current development pipeline, which is already in progress, starts to hit our books and it's hitting our books '16, '17 and '18. We are building tremendous amounts of capacity to fund additional investments, and we’re building additional capacity by reducing our net debt to EBITDA. So, we have a terrific opportunity to actually be more acquisitive from a development perspective or a straight acquisition perspective as we move out with our current equity base and the fact that we’re growing our cash flow significantly.
Operator: Your next question comes from the line of Craig Mailman with KeyBanc.
Craig Mailman: Mike, just wonder if you could provide some updated thoughts on plans for the GM loan refinance?
Michael LaBelle: So, that loan expires in October of 2017. It's possible that we could refinance it a little bit early. We are expecting to be talking to the market in a formal way later in the first quarter. In terms of the execution of that, we would anticipate that we are going to refinance it as mortgage finance like it is today. If you look at the cash flows that can be generated and are being generated by that asset, it's under leverage today. So, we have the ability, if we want, to risk some incremental proceeds in that way, so that could be part of the $500 million to $700 million of additional debt capital that I mentioned that we raised. It's a large loan. So the two primary sources for that are the CMBS market which is very attractive market today. Spreads have come in over the last two or three quarters nicely. Obviously, the swap rates and treasuries have moved up 50 basis points in the last quarter, and spreads have not come in 50 basis points, but they have come in. And then we could also do a large syndicated facility with banks and insurance companies, and folks like that. So that those are kind of the two executions that we would look at to do in long-term, long-term being seven to 10 year mortgage financing.
Craig Mailman: And then just on the Oakland option for the resi, can you just give a little bit more detail about the terms of that, and where we are in the cycle. How you guys weigh that versus moving forward?
Owen Thomas: Well, we, as you know, are building our residential portfolio generally in the Company. It's currently a small component of our NOI but we have completed and have -- we've completed several successful residential developments and have a few under way. We identified the [technical difficulty] neighborhood in Oakland as a improving area and one that is attractive for development, particularly given the site that we're looking at, direct access to public transport into San Francisco, and the rents that we'll be able to offer to market are at significant discount to the rents in central San Francisco. We are paying attention to market conditions. We understand the deliveries that are there, and we're factoring that into our underwriting. And in terms of the specific economics of the deal that we're doing, I think it's too early for us to discuss that. But when and if we decide to go forward with this project, we'll certainly describe the exact financial arrangements, but we think they're attractive.
Craig Mailman: Is it just an option you guys have, or did you -- by the way, I'm just curious how long the options for if that's the case?
Owen Thomas: Right now, it's an option. And the other activity that's going on is very important as the entitlement of the site.
Operator: Your next question comes from the line of Vikram Malhotra with Morgan Stanley.
Vikram Malhotra: Just a more granular question on New York leasing and your pipeline there, you sort of walked us through, and the space that you lease-up and price points around the $100 range. Could you walk us through what you're seeing in terms of demand or even just early showings that you might have done around some of the new redevelopments that you're doing?
Owen Thomas: John, you want to take that one?
John Powers: Sure. Well, we’ve had -- we're dealing with a number of different buildings. I think we have very good showings at 159, and we're looking for like a 150,000 foot tenant. We had very good activity in the Tower at 399 the seventh floor is very difficult to show right now because of the construction project that's ongoing.
Vikram Malhotra: And just, but just in terms of which sector -- are you seeing broad range of sectors. Is it more finance? And just a sense of price points, are they similar to expirations or wider range?
John Powers: I think it's a pretty broad range, some financial service firms, and some corporates.
Vikram Malhotra: And then just a quick clarification, I remember last quarter, there was an asset in Springfield you were marketing. I think there was someone circling around the tenant, and you took that off. Any update on the potential sale there?
Owen Thomas: That project is VA 95. And as we announced the last quarter, the primary tenant in the project announced -- put out an RFP for a potential consolidation. So that uncertainty made the asset more difficult to market. And frankly the consolidation could be an opportunity for us, because we're going to compete for that. But we need to, I would say, re-stabilize that building before considering selling it. I also just want John to take a victory lap. I think we were identified as the highest, the leading real-estate company in New York with lease space over $100 square foot in 2016. So, the volumes in that market are not large, but we captured the highest share last year.
Vikram Malhotra: That’s good to know. Thank you very much.
John Powers: By the way, that’s not our usual. But thank you very much, Owen.
Operator: Your next question comes from the line of Tom Lesnick, Cap One Securities.
Tom Lesnick: I'll keep it brief since we're pretty late into the call here. But earlier, you guys mentioned properties in need to CapEx in your markets. Bigger picture, how do you guys view the risk adjusted value proposition between development and well located value-add acquisitions? And how that changed at all in the last few quarters?
Owen Thomas: Well, we prefer or we -- actually I would say, exclusively right now, are making investments where we can use our real-estate skills to create value. Doug described it in his remarks that a key value proposition for whole company. So, we're not interested in purchasing stabilized assets, the cap rates in the force, because they -- when we have the opportunity to create more value by either buying under-let assets or by development. And I think the examples of that are we have a very significant multi-billion dollar development pipeline underway, and we're still forecasting a cash NOI yield upon delivery for that portfolio in excess of 7%. All the projects that we delivered last year were in excess of 7%. And when we think those buildings are delivered, again it depends a little bit on where they are and what there. But if again stabilize buildings in our core markets are selling for four, because that's a significant profit that's realized by shareholders. So, to the extent we can continue to find projects, they're painful that way. We want to go forward with them. I would say the one thing that has changed that we've talked about over the last few quarters as we get further into the economic recovery as we see supply in our markets that does describe our pre-letting requirement for launching a new development had elevated. We don't have exact percentage that we adhere to, because it depends on the project and scale and the market condition. But clearly, our threshold for pre-letting is higher in office today. And I would say the other thing by the way we've done in addition to development is trying to purchase assets where when we lease them and when they roll to market that we will own them at a premium yield, certainly the 4%. And I think Colorado Center deal I would point to much recently that we did where I think those facts are going to come true.
Operator: Your next question comes from the line of Rob Simone with Evercore ISI.
Rob Simone: My questions have all been answered. I was curious if you guys have selected any candidates for the asset sales that Mike mentioned. But you guys touched on that, so I’m good. Thanks.
Owen Thomas: Good. Well again, that concludes the questions. Thank you for your interest in Boston Properties and your time and attention today. Thank you.
Operator: This concludes today's conference call. You may now disconnect.